Operator: Good morning, and thank you for joining the Tetra Tech Earnings Call. By now, you should have received a copy of the press release. If you have not, please contact the company's corporate office at 626-351-4664.  As a reminder, Tetra Tech is also simulcasting this presentation with slides in the Investors section of its website at www.tetratech.com. This call is being recorded at the request of Tetra Tech, and this broadcast is the copyright property of Tetra Tech. Any rebroadcast of this information in whole or part without the prior written permission of Tetra Tech is prohibited.  With us today from management are Dan Batrack, Chairman and Chief Executive Officer; and Steve Burdick, Chief Financial Officer. They will provide a brief overview of the results, and we'll open up the call for questions.  I'd like to direct your attention to the safe harbor statement in today's presentation. Today's discussion contains forward-looking statements about future growth and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in Tetra Tech's periodic reports filed with the SEC. Except as required by law, Tetra Tech takes no obligation to update its forward-looking statements.  In addition, since management will be presenting some non-GAAP financial measures as references, the appropriate GAAP financial reconciliations are posted in the Investors section of Tetra Tech's website.  [Operator Instructions]. With that, I would like to turn the call over to Dan Batrack. Please go ahead, Mr. Batrack.
Dan Batrack: Thank you very much, Laura, and good morning, and welcome to our fiscal Year 2021 first quarter earnings conference call. We had a strong first quarter, delivering results ahead of our guidance for both revenue and earnings. Our performance was attributable to our focus on high-end consulting services, which resulted in increased margins for both of our operating segments.  Our leading with science approach is fundamental to our success. And we're increasingly leveraging our suite of proprietary technologies and tools that we call the Tetra Tech Delta. With a new administration leading the United States and their appointees being put in place throughout the federal agencies, we're anticipating an increased focus on water, environment, and the related climate change priorities.  I'll now begin with an overview of our performance and customers, followed by Steve Burdick, our Chief Financial Officer, who will provide a more detailed review of our financials and capital allocation. I'll then address our customer outlook and earnings guidance for fiscal year 2021 and for our second quarter. We had a strong first quarter led by our record earnings per share performance. In the first quarter, our operations generated an earnings per share of $0.96, which is up 13% from last year.  Our net revenue was $605 million, up sequentially for the second quarter in a row, as we're recovering from the impacts of the pandemic. Our backlog ended the quarter at $3.19 billion, up 1% from the prior year. I'd now like to provide an overview of our performance by customer. Our U.S. federal and our state and local revenues were both up year-on-year. State and local revenues were up organically 11% year-on-year with continued growth in municipal water programs led by our digital water services.  Work for our U.S. federal clients was 31% of our collective net revenues in the quarter and was up 8% year-on-year. This growth was led by double-digit increases and our work for the U.S. civilian agencies and the U.S. Department of Defense. However, as we've seen in the past several quarters, we continue to see some delays in our U.S.A. projects due to travel restrictions associated with the COVID-19 pandemic. While our International net revenue was down 8% from last year, revenues did grow sequentially by 4% in this business area from our fourth quarter.  We did see continued strength in our Canadian government and renewable energy services work. However, this growth was offset by reductions in discretionary work for our commercial clients, especially in the Asia Pacific operations. And also in the United Kingdom, our U.K. practice, it was impacted negatively by project delays associated with renewed COVID-19 restrictions that were put in place in the region.  Our U.S. commercial net revenue was 22% of our business in the quarter, down 7% from the prior year. While our regulatory-driven programs and renewable energy revenues continue to grow, we saw a reduction in discretionary work for some of our industrial services and our commercial real estate clients.  I'd now like to present our performance by our segments or business groups. In the first quarter, both of our segments contributed to an expansion of our operating margin for the entire corporation. The Government Services Group or the GSG segment was up 100 basis points year-on-year, delivering a 13.8% margin in the first quarter of fiscal year 2021. Their margin increase was driven by high-end, high-value data analytics and design services as well as strong utilization across the entire GSG operation.  The Commercial/International Group or our CIG segment, margin was up 60 basis points year-on-year. And as per our plan and as we've signaled in the past, it is increasing and moving much closer to GSG's margin.  CIG segment delivered an 11.4% margin in the quarter. CIG's first quarter performance was the result of growth in high-end services that resulted in a much more favorable business mix for us in that sector of the company. Our backlog was up 1% year-on-year ending the quarter at just under $3.2 billion, which I will note is the second highest ending quarter number that we've ever had in the history of the company.  Now the first quarter of the fiscal year is typically lighter for us in orders. In the United States, the first quarter also happened to coincide this year with our U.S. elections, the federal budget negotiations and a lead up to the presidential leadership transition that took place in January. This was altogether combined with a typical holiday season that starts from November through New Year's, which does make orders a bit lighter. But in spite of these seasonal impacts, we saw strong orders from our key federal agencies, including the Department of Defense, Department of Energy and the U.S. Environmental Protection Agency.  Now at the same time, we also continue to add new contract capacity with agencies that are going to be at the forefront of the new administration's priorities, such as our recently awarded contract with FEMA, and contracts that will support U.S.A.'s renewable energy programs around the world.  Now I'd like to turn the presentation over to Steve Burdick, our Chief Financial Officer, to present the details of our financials for this past quarter. Steve?
Steven Burdick: Hey, thank you, Dan. So I'd like to now review the GAAP financial results for the first quarter of fiscal 2021 as well as our financial condition as of the end of the first quarter. So overall, our revenue and net revenue came in better-than-expected when compared to our first quarter guidance. The fiscal 2021 first quarter revenue was [Technical Difficulty] $605 million was in excess of the top end of our guidance range, which was $570 million to $600 million.  Our net revenue was up about 3% over the last quarter. And furthermore, our first quarter net revenue is up when compared to each of our most recent Q2, Q3 and Q4 results. When compared to the first quarter of last year, our revenue and net revenue was impacted by the economic conditions resulting from the COVID-19 global pandemic as well as our decision last year to dispose of our Canadian turnkey pipeline business.  Similarly, our operating margin and earnings per share improved. Our earnings per share of $0.96 came in better than the top end of our Q1 guidance range, which was $0.78 to $0.83 and better than the first quarter of last year.  This higher EPS was due to 2 reasons. First, earnings per share improved due to the improvement in operating income, which came in at $66 million this quarter. Our improved operating income was driven by an increase in our margins over the last year by 70 basis points. This operating income was a result of improvements in both our CIG segment, which realized a higher-margin of 11.4%, and GSG, which realized an even better margin of 13.8%.  Second, our tax rate benefited from a discrete tax matter, primarily due to stock compensation. I do want to point out that if we applied a normalized 25% tax rate to both our first quarter -- to both years in our first quarter, our EPS would have come in at about $0.87 this quarter, which is still much stronger than the prior year of $0.81 at that same constant tax rate.  While net revenue, operating income and earnings per share have improved, we've also remained focused on generating positive cash flows in excess of our net income. Now cash flows generated from our operations for the first quarter totaled $33 million. For those investors and others, who have followed us for a while, you will note that we typically have a negative cash flow in the first quarter. However, as we continued to improve our working capital management, we've realized a $51 million improvement over last year.  This working capital improvement also benefited from a decrease in our days sales outstanding or DSO. Our focus on working capital and cash flows is resulting in a DSO decreasing to 67 days as of the first quarter. This is an improvement of 6 days from last year and a sequential improvement from last quarter.  Now our net debt of $139 million amounts to about a 38% decrease from last year. This is an improvement of $85 million compared to last year even as we use cash for strategic acquisitions, stock buybacks over the last 12 months, amounting to about $111 million and dividends over the last 12 months of $36 million.  So our long-term capital allocation strategy calls for balance of investing in the growth of our business, managing the balance sheet and providing returns to our shareholders. And so over the last trailing 12 months, cash from operations generated $314 million, which equates to about $5.75 per share.  During the first quarter, we continued to benefit from this cash position by providing significant returns to our shareholders through both dividends and share buybacks.  So regarding our dividend program, during the first quarter, we paid out $9.2 million in dividends. And I want to announce that our Board of Directors approved our 27th consecutive dividend which will be paid in the month of February at a rate of $0.17 per share, which is a [Technical Difficulty].  Furthermore, we utilized $15 million in the first quarter on our stock buyback program. We do have about $193 million remaining under our previously approved stock buyback program.  And just as important to successfully implementing our capital allocation strategy is ensuring we have a strong balance sheet and ample liquidity. We have both in terms of our balance sheet at the end of Q1 with a current leverage of 0.5x to EBITDA and available liquidity of over $800 million in the form of cash on hand and funds available under our credit agreements.  As a result, Tetra Tech is in a financial position such that we will continue to provide significant returns to our shareholders while investing in technical capabilities and strategic growth areas, both organically and through acquisitions.  So I am very pleased to share these financial results for the first quarter with you all. And I want to thank you for your support.  And I will now hand the call back over to Dan.
Dan Batrack: Great. Thank you very much, Steve. With the United States reengaged in the Paris Climate Accord, and the Biden Administration's focus on climate change taking hold, we expect climate change opportunities to increase across our business. For Tetra Tech, climate change driven services include 4 major markets, water, environment, sustainable infrastructure and renewable energy. And we here at Tetra Tech are leading with science in addressing our clients' climate change needs with a combination of our experience, world-class scientists and engineers, and technical innovation.  So in water, we're working with local governments to provide sustainable water supplies in regions affected by droughts or saltwater intrusion from rising sea levels. In environment, we're working with our Fortune 500 clients to address new air and water quality concerns and their increased emphasis on meeting sustainability goals. In sustainable infrastructure, we're designing solutions for coastal protection and providing innovative, resilient, high-efficiency building designs.  And in the renewable energy, we're at the forefront of new offshore wind programs that are helping states meet their ambitious renewable energy targets here in the United States. The renewed emphasis by the U.S. administration and climate change and associated water, environment and renewable energy programs will begin with the allocation of work under the $1.4 trillion fiscal year 2021 budget that was just put in place on December 27, 2020.  Our federal work is across 3 primary sectors: first, civilian agencies; second, Department of Defense; and third, international development. And collectively, across these sectors for the federal government, we can leverage our over $20 billion in contract capacity to support our federal clients programs. For the Department of Defense, we expect to see an increased focus on addressing PFOS and other emerging contaminants as well as climate adaptation planning for military facilities that are at risk due to sea level rise.  For civilian agencies, such as the Environmental Protection Agency, where we've supported programs with them for over 30 years. We expect a renewed focus on watershed management, regional programs and science-based analysis of emerging contaminants. And for international development, the Biden administration has announced that U.S.A. will be elevated to sit on the White House's National Security Council in full parity with Diplomacy and Defense for the first time. And as one of the largest U.S.A. consultants, we're very well situated to address priorities in climate change, and renewable energy with this agency.  ESG, environmental, social and governance. Again, also known as ESG is increasingly a focus of companies, both for Tetra Tech and for our clients. For us, ESG is both what we do internally as a company as well as what we do for our clients in the 65,000 projects that we perform each year. We have excelled in reducing our company's GHG emissions or greenhouse gas emissions and achieving our sustainability goals. But it's actually the work that we do on our projects that provides a benefit at a scale that are well beyond the 20,000 staff at Tetra Tech.  Our environmental work is reducing the discharge of contaminants, helping manage large-scale watersheds, such as the Chesapeake Bay and cleaning up impaired rivers, such as the Fox River in the State of Wisconsin. Our work in renewable energy in Southeast Asia is providing a societal benefit to over 70 million people. And programs like the Coral Triangle initiative that we're working on, is benefiting a 6 million square kilometer ecosystem that supports over 300 million people.  In governance, we've worked for over a decade on programs that support gender diversity, economic development and the rule of law. And today, in the country of Colombia, one of our current programs, we secured land tenure rights for over 20,000 people. These services, consistent with Tetra Tech's focus on water, environment, sustainable infrastructure and renewable energy, bring a new dimension to the scale and significance of the work that Tetra Tech is doing today. I'd now like to present our guidance for the second quarter of fiscal year 2021 and for the entire year. Our guidance is as follows. For the second quarter, Tetra Tech's net revenue guidance range is from $565 million to $595 million, with an associated diluted earnings per share of a range of $0.73 per share to $0.78 per share.  For the entire year, I'm very glad to increase both our net revenue guidance and our earnings per share. Our updated net revenue guidance for the entire year is to $2.40 billion to $2.55 billion for net revenue, with an associated diluted earnings per share range of $3.45 per share to $3.60 per share. Some of the assumptions included in these updated guidance, includes an expected intangible amortization for the year of $9 million or approximately $0.12 per share. We do expect a 25% effective tax rate for the remainder of the year. That would be for Qs 2, 3 and 4. In fiscal year 2021, we have approximately 54.5 million shares, have diluted shares outstanding. And as in the past, our practice is not to include, or in other words, this excludes any contribution of future acquisitions that would take place during the fiscal year.  In summary, we had a very solid first quarter and start to our fiscal year 2021, setting new records for earnings per share for our shareholders. As we enter fiscal year 2021, our high-end water, environment, sustainable infrastructure and renewable energy services and our leading with science approach is more in demand than ever before. And our market-leading high-end services are directly in line with today's priorities for climate change, water and environment, providing us with extraordinary opportunities as we enter this year and particularly with the new administration here in the United States.  And with that, Laura, I'd like to open up the call for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Noelle Dilts with Stifel.
Noelle Dilts: Congrats on another nice quarter. So just a couple of quick questions. First, very high level. Maybe you could speak to just how you're sort of thinking about the annual growth outlook for GSG versus CIG as well as the margin profile, just given some of the momentum you're seeing in federal advanced analytics as well as some of the expected pockets of softness you're seeing on the commercial side of the business?
Dan Batrack: Yes, I think really -- things have started off well. And let me start with the margin, and then I'll get to the growth rates with our government clients. In the past, we've -- in past years, we've indicated that our margin is -- on an EBIT would be at between 12% and 13% operating income. We do see that with an increase in our advanced analytics that has increased, our target was 12.5% to 13% for this year. And no doubt, the first quarter was particularly strong.  So I would say for the year in this coming quarter, and I will make a note that we do have a bit of a seasonal impact to our business. Our Q2 is a quieter time, less travel, less outside field work. It does snow in the northern portions and sometimes even here in the southern portions of the U.S. So seasonally, we'll see a bit lower margin in Q2. But for the year, we should be between 12.5% and 13.5%. And with the performance recently, I would say, at the upper end of that range.  The growth rates have actually been very strong. And I would say, without any special contributions from the Federal government, in other words, not including stimulus or not including Recovery Act funding, we've seen our federal grow between 5% and 10%. That's what we indicated last quarter. We came in right in that range, the upper end of that range here in the first quarter. And we expect our state and local work driven by municipal water programs to grow between 10% and 15%, and we were in that range, albeit a little bit at the lower end of that range at 11%.  So that's what we're seeing on the government side. And I think with just a little bit of funding or implementation of new priorities for the new administration, we could push the upper end of those levels for the federal government and perhaps even higher.
Noelle Dilts: Perfect. That's really helpful. And then you mentioned PFOS mitigation as sort of a longer-term opportunity, which I think is an area of focus for a lot of investors. Could you speak to where you think we are today in the U.S. around some of those initiatives? And one of the things we've been looking for is for the EPA to kind of come out and establish MCL levels and that may sort of start to drive some of this activity. Can you talk about how you're thinking about this playing out over the next few years? And where you see Tetra Tech as best positioned to participate?
Dan Batrack: Yes, absolutely. Well, I think that the PFOS and for those unfamiliar with PFOS and PFO are two acronyms that refer to chemical additives to fire suppression, foam and sprays and other materials that are used at any place that does fire training done, and that's Air Force bases and military is the largest use of these chemicals.  It is a persistent chemical that impacts drinking water in groundwater primarily, although it can also be in like some other surface waters. And it's -- there are not a regulatory directed levels that have been established at the federal level, and there are, for the most part, only guidance even at state levels.  I do think MCLs, which is a drinking water standard definition, if it's passed at the federal level will create an immediacy. It will take a little bit of time to be put in place. I do think that not only our federal clients, but our commercial clients, we are seeing have added this to the chemicals for screening, analysis and actually preliminary remediation of this material in order to get ahead of it.  So I do see it growing just because of the new administration. I think that the trend or the die is cast that there's likely to be a regulatory standard put in place or at least a preliminary remediation goals, PRGs, during this administration. And so I do see it ramping up. I think it will -- it was going to go up regardless of administration, because of concerns at the local municipal level, but I do see it growing much quicker with this administration being put in place and priorities for protection of the environment and human health administered through the EPA. So I think it will grow quickly.  Tetra Tech is one of the leaders in this area, although I will say it is a land rush, everybody who can actually spell PFOS or PFOA are saying that they're a leader in this. We're doing a lot of the work for the Department of Defense branches, and we're actually doing a fair amount of this work for our Fortune 500 clients right now, mostly on the assessment and for the federal government on what I would call pilot test or feasibility studies. And so it's very much in its infancy to develop technologies that will be more cost-efficient and effective than using granular activated carbon or sort of a best-demonstrated technology.  So I could very easily get into a technical discussion, and I'm sure many wouldn't have that much interest in, but I think it's a tens of billions of dollar market. It's going to be ramping up, and it will affect essentially all drinking water supplies or a great majority of them across the U.S., particularly in proximity of military facilities where other firefighting was used, including proximity to airports.  So I think it's a big opportunity for our environmental side. It's a great nexus with our water expertise. And I think Tetra Tech, if not the leader, will certainly be one of the top leaders in this market as it develops.
Operator: Our next question comes from the line of Tate Sullivan with Maxim Group.
Tate Sullivan: I thought I'd start with your offshore wind work, and you mentioned in your comments, a lot of emerging U.S. projects on that front. But can you remind us of your international offshore wind energy exposure? Or does it -- is it not as large as your existing U.S. book of business?
Dan Batrack: Well, yes, it's not as large. The work that we're doing for offshore wind is probably 90% of the work with respect to projects and revenue generation for offshore wind is here in the United States. We have just a very, very small amount of offshore wind that we support. Some of the initial evaluations of potential suitable sites is being done off of Canada. Although the Canada's biggest generation of renewable energy, of course, is hydro, followed by onshore wind and just a very, very little in the U.K., but I would say 90%, 95% of all of our revenues are here in the United States. And the great majority of that is of the eastern seaboard, although I will say, we're just beginning to do some initial offshore marine assessment work, including siting, depth, sub bottom profiling, environmental assessment off the West Coast of the United States, where it's a much deeper shorelines, a much deeper water. So it's actually tethered off of cables rather than actually set on the bottom on the East Coast. So that's the mix that we do.  And what Tetra Tech does is we do have a very advanced and we believe the market leader in doing the initial studies, evaluation, research work that will support the permits to be issued for off-site siting and construction. So we'll do the marine mammal studies. We'll do the offshore benthic studies with respect to shellfish, marine mammals, the rest of it. We'll actually do the setting up of floating systems to track the radar flyways for avians, so birds and if it's nearshore bats. And so that's the work that we'll do.  And the most complicated part of actually putting an offshore wind generation system together is obtaining the permits and then monitoring for compliance of the environmental permits, and that's the work that we do.  And obviously, as you would intuitively recognize that's the work that comes in first. They'll construct it later. And then, of course, the ongoing monitoring with Texon essentially in perpetuity. So that's sort of where our work is and what we do.
Tate Sullivan: And shifting to the project demand from commercial customers, and you mentioned some of your Fortune 500 doing more evaluation works on the PFOS and water contaminant fronts. But more than that, can you -- what really drives demand from your commercial customer? And you mentioned a new focus to meet sustainability goals, but can you give an example of where that translates into a project? Does that -- is that mostly your sustainable building design business? Or can you give an example of a project there?
Dan Batrack: Yes. Yes. I absolutely can for it. Well, I think sustainable buildings, and we refer to it as our high-performance buildings practice, I think, is an excellent example of where discretionary dollars are being spent to meet sustainability goals. And sustainability goals for existing buildings are how retrofits or renovations can be put in place to reduce energy consumption, to actually reduce or complete a full recycling, capture recycling of water. So it can be self-sufficient and then, of course, enhancing their recycling on the waste side.  And so there's a lot of that work taking place now for our existing Fortune 500 clients for their headquarters and their key facilities in order to meet their overall sustainability goals within their company. And then, of course, new construction is being driven not only by voluntary decisions to create a more sustainable or healthy buildings often defined by a wellness criteria, but there are more and more regulatory requirements coming in regarding energy efficiency requirements before permits will be issued for new construction.  So it's a combination both of the election to make this a priority, which we've seen a significant increase and regulatory requirements, certainly on the energy side, and some have moved to be even broader to cover energy, water and waste, which is what we're focused on with our high-performance building design group.
Operator: Our next question comes from the line of Sean Eastman with KeyBanc Capital Markets.
Sean Eastman: Nice quarter. I'd like to start on -- clearly, Tetra Tech is well aligned with this new administration's policy platform. And I know it's early days, but I'm just wondering how quickly you think we might see funding start to get funneled into Tetra Tech programs that support this very hard stance on climate and environmental resilience? Just curious how you see that playing out? And how quickly we might start to see that?
Dan Batrack: It's a really good question, Sean. And our perspective has actually evolved here even over the past 30 days. And in fact, with the new administration coming in and a lack of clarity 30 days ago, as to who would control Congress, we felt that a slow progression with respect to affirming or ratifying a number of the appointees for the new administration. And some difficulty through Congress, the House and Senate, would actually create a slow ramp of these. But with the elections taking place in Georgia and the Senate and, of course, the House being on the Democratic side with the administration, we actually think it will speed things up.  So rather than this being a ramp-up with momentum really picking up in 2022 and '23. No doubt, those will be the bigger years, but I think that this year, toward the end of fiscal year 2021. So between now and fall, I actually expect this to convert from policy and priorities to funding and implementation. And I would say probably late third quarter and fourth quarter. Now I know that those not as familiar with the federal government might sound a lot, it sounds like a long way away. We're already 1/3 of the way through the second quarter. So it's really not that far away.  And I think the one thing that the government will do first, the administration will do first is, if you want to get moving, if you want traction and you want to make an impact, you use the capacity of the vehicles that you have in place. And with Tetra Tech having well over $20 billion with just U.S. federal contract capacity, we're in a great position. And these are not capacities for scopes of services that are something divergent from the priorities. These are $20 billion set dead center with respect to the priorities that this administration has identified.  So I think that the funding will come out sooner than originally anticipated, because of the consensus that has been put in place through Congress and the executive branch and the ability to actually access entities that have these contracts.  So for us, I think it could come Tetra Tech's way in the second half and probably later in the second half of this fiscal year. So it's not a exclusively a 2022 or '23 or out. I do think it will continue to build and the best are yet to come in the future, but I think it will begin here in the next few quarters.
Sean Eastman: Okay. Really helpful. And next one for me is just the GSG margins up 100 basis points year-over-year is certainly noteworthy around the quarter. It would just be helpful if maybe we could get a bridge between the utilization benefit and that mix benefit? And along those lines, if you could just give us a little bit more color on this digital water opportunity, how that's unfolding, that would be helpful?
Dan Batrack: Sure. With respect to the increase in the margin within GSG, it was driven by 2 factors. We're trying to be clear about this. One was an increase in the margins from higher value work that we have on data analytics and federal IT practice. So it does carry a bit better margin. I would say that of the 100 basis points increase year-over-year, probably half of it was associated to, what I'd call, structural higher value execution of work or the work that we're performing. And the other half was really because of utilization. As you saw, we saw continued growth. And in fact, between the state and local and federal work, revenues were up, utilization was up, and that drove probably the other half of the increase.  So if you were wondering where did it specifically come from? It was split pretty evenly between higher margins for the work we're performing and the other half is just increased utilization. So that's what drove that increase. And your second was...
Sean Eastman: Just curious around the digital water opportunity, Dan. I mean, just given that we had a huge margin lift in part from higher-margin work. I just wanted to get a little bit more color on that higher-margin work opportunity and just understand kind of the growth outlook and what's driving demand around some of those solutions? And digital water sounded particularly interesting.
Dan Batrack: Yes, digital water, I've spoken about it. We've referred to it in a number of different context is, but digital water is where we're taking sprint primarily associated with our state and local work, it's surrounding municipal work, where there was antiregulatory mandate to evaluate the vulnerabilities of local water systems to cybersecurity attacks. You've seen it's only been in the past month or 2, you've seen some cyber attacks at the federal level. And certainly, there is a -- there's actually a regulatory requirement for evaluation.  So that is a digital evaluation of access through the Internet or through other web accesses to these systems, putting in protections from cybersecurity. And what's come along with that is actually digital water upgrades and evaluation if you're in the business, they refer to as SCADA systems, but it's basically the electronic brains that would control water systems and all of the data that comes in from wells and everything else. And we've done more of that work to actually update from analog systems to digital systems and actually move to remote telemetry for monitoring and even operation.  We've also been able to add digital water analysis and IoT into plants, where we can actually create a digital twin and do the scenario planning in the simulation of what would a new treatment train or different technology affect removal of PFOS and PFO and [indiscernible] and 1,4-dioxane and all these emerging contaminants, without shutting the plant down, we're actually setting up a physical treatment plant for a pilot study. So we can do that electronically as part of a digital water process. It saves an unbelievable amount of money. It can be done faster. It actually reduces labor costs for our clients, all by moving to a digital water focus for our municipal and state clients.  So that's -- and I would say it's very, very early. Out of the thousands of water districts across the United States, only a very few of them have moved to a complete digital water platform. Many of those we're doing the work for. And we think we have some of the most cutting-edge technologies that we've developed over the years, and they're included in the Tetra Delta technologies that we have available. And that's been one of the big growth areas. And we think it's going to do nothing, but become bigger for us.
Operator: Our next question comes from the line of Sam England with Berenberg Capital Markets.
Unidentified Analyst: This is Alex [indiscernible] for Sam. First question is around, could you discuss to what extent Biden's plan for $350 billion in state and local support are just concerns around deficits in their budgets?
Dan Batrack: Yes, that's a good question. It's -- certainly, the administration has come out already. You've -- I think most of you would have heard on the initial proposed $1.9 trillion of additional recovery support. And in fact, this includes $350 billion that is earmarked directly for state and local governments in order to shore up financial shortfalls from the pandemic from tax receipts and other economic pressures that are put on them.  Now no doubt, the $350 billion, the headlines is that's to provide payroll support, that's to provide returning to school and additional pandemic testing. But no doubt, that a portion of this will also support and be earmarked for the programs that we're focused on, which is water systems, wastewater treatment, sustainability.  And so the proposal at $350 billion as an initial start isn't expected to really fill the shortfall at the state and local budgets for this year. So that's the number we've looked at. And that does not include -- that is exclusive of any discussion or earmarked dollars set aside for infrastructure stimulus or some of the others that have also been floated already all the way running from the Department of Transportation all the way through state revolving funds and water infrastructure funding from EPA and others.  So those are the areas they've actually called out specific dollar amounts, and it was earmarked as a number to replace the shortfall at the state and local. And in the past, I've talked about it's not a foregone conclusion that there will be a reduction in spending at the state and local level because there are multiple avenues of funding to replace any shortfalls, including federal funding, which we're referring to here. They also have increased user fees, which is another. They have issues of bonds and levies at the local level. So there's quite a few different sources. And not to forget, unemployment certainly is up from the beginning of the pandemic, but so are housing prices and tax receipts from real estate and others. So it's not all just a minus sign and the challenge at the state and local level.
Unidentified Analyst: Okay. Great. And in the past, you've talked about sort of a 200-basis point expansion in GSG margins. Given the sort of strong expansion margins that you're currently seeing, is that still the target? Or do you think that expansion could be larger than this?
Dan Batrack: Well, I think we talked about a little bit longer-term that these larger numbers that we could get the margins up. I think, for this year, we were talking for a full year of 50 basis points. But I do believe that we could go from a 12% or 13% to a 14% to 15%, that would be a 200 basis points on bottom and top as we continue to move the business that we have to a higher value, advanced analytics. We do believe that the value provided to our clients and our margins, our operating margins would go up. We don't believe that, that's not achievable. We do think that the 200 basis points is a goal over the next few years, but we've made a good start on that even this year. And so no, we're not backing away from that. We do think it's achievable. And it is directly linked to our continued expansion of our high-end data analytics and other consulting and engineering services.
Operator: Our next question comes from the line of Marc Riddick with Sidoti & Co.
Marc Riddick: I wanted to switch gears a little bit. I wanted to go over -- if you could give a bit of an update on the use of cash you're certainly generating -- continuing to generate strong free cash flow. You're at about half a turn. I was wondering if you could talk a little bit on the acquisition pipeline and what it looks like around the world? And maybe what the pricing environment may look like? Or maybe how that may have changed over the last few months given the opportunities that are -- that in the ESG world that have certainly been enhanced over the last several months?
Dan Batrack: Yes. It's a really good question. Our -- I will say our focus of what we're looking for, and then I'll get to what the opportunities are in each area. But the areas we've been focused on is we'd like to expand our high-performance buildings work. We think that the U.S. federal government, governments in Canada, the U.K. and Australia will be focused on their own facilities, increasing their energy efficiency, water and waste reduction or elimination. In the case of a new water makeup, it'd be just full recycling. And so we would like to add a high-performance building our practice. So we would like to add additional water consultancy and engineering in the U.K. and Australia. Here in the U.S., disaster response planning, additional capability, and advanced analytics. So those are -- you've heard all those before.  With respect to opportunity, we actually have found those that we worked with as teaming partners and subcontractors and folks that we have long-term relationships have actually expressed interest in joining Tetra Tech, because they do see, as we see a large wave coming of additional priorities on these and having existing contract vehicles and more offices. You may be a small to medium-sized operation that's regional. And if you want to catch a wave that exists over a much larger geography or a wider client set, teaming up with someone like Tetra Tech and joining us just makes a lot of sense.  So we've had a fair amount of interest. There's a lot of discussions in those areas that I've just outlined. Pricing, we have noticed that the pricing from auctions or investment bankers have come out at new levels that are, it is a word dizzying, but multiples that are ever climbing. But the numbers that folks are actually looking at joining Tetra Tech, and I'll work backwards, are still at a level that would be accretive to Tetra Tech's earnings per share on a GAAP basis in the first year. And it typically means multiples on trailing earnings of something 7 or less, whereas those that are looking simply to monetize have seen rises in their numbers. And it's because of the advent of SPACs and private equity and others in every industry, including our consulting and engineering. But we have found opportunities for the best players, who are not looking just to monetize their companies, but are actually looking not to exit the industry, but actually to increase their future and make their future brighter than it was before are the ones that are interested in joining Tetra Tech.  So there's good, strong opportunities out there. We think the ones that were -- we would pursue and we'll announce it as we conclude them, not just when we sign agreements. We think there's plenty of opportunities in the pipeline for those. And I just did outline here is that we're focused on for acquisitions.  And as Steve Burdick outlined I think we have plenty of cash through our existing revolvers. We're just under $1 billion accessible to us with the instruments we have in place today. And if we wanted to stretch for the right opportunity to numbers north of that, we think we have no issue at all to do that. And this is all use of cash, not actually diluting our share base.
Operator: Our next question comes from the line of Ryan Connors with Boenning and Scattergood.
Ryan Connors: So my question is a big picture in nature. Obviously, the stock's done well. It's been caught doesn't mean that kind of screens well with the clean infrastructure spending. The theme of the Biden administration, it seems you're very much on board with that. But if we look at the big picture, we look back at some of your own transcripts and some of your peers in the past when new administrations were taking over, and that includes Obama and Trump. And pretty much every time early in administration, there's a lot of talk about infrastructure as a bipartisan theme that can get moved forward. But then as the sound bites and the excitement turn into actual governing, sometimes the reality is a little less significant than the initial talk.  I want to just get your reaction to that, especially since there's already talk about more stimulus checks, the direct stimulus checks, which are politically popular and even recurring stimulus checks and things like that. When push ultimately comes to shove, where do you think infrastructure sits with the so many other priorities that the administration is trying to fulfill?
Dan Batrack: Well, I think that's a great observation, and I would -- I'd be the first to agree. And I would hope you would note that we did not put a slide or a big spotlight on infrastructure stimulus package going through. I completely agree that it's one of the first items to be discussed as a priority and having bipartisan support only for it to not come out. And in the case back under Obama administration under the infrastructure stimulus, which was the American Recovery Act, the shovel-ready projects at $787 billion. I was one of them that actually saw getting signature on it and felt very, very bullish that a lot of it would pass to consulting and engineering firms like ourselves, and in fact, to see it not happen and really be used for filling potholes and keeping employment at levels high at municipal levels.  So we're not including it. It's not included in our guidance. I -- I've got this adage we're planning for what's been passed. But I'm hopeful that they would actually come together and pass something like this. I think it's good for the country. I think we have long-term assets that actually are a result of what's being spent, including water treatment systems and coastal protection and all the other things you're more than aware of. But I am hopeful. I'm a huge advocate myself as a well as most consultant and engineering and infrastructure firms, but we've not included it in our forecast. And when it happens, even after it happens, we'll tell you how it's impacted Tetra Tech after we've signed contracts and are actually beginning to go to work.  So my perspective is it sounds great. It's the right thing to do, but I'm very cautious as to whether or not it will actually come to pass. And so that's why we've not incorporated it in our revenue or our earnings guidance for this year. And while it'd be great to happen, we're not going to count those chickens before they're are hatched.
Ryan Connors: Okay. Okay. Fair enough. Yes. I mean I think it's -- some of the Robin Hooders might have already put it in the stock, and it's such a great quarter today had the stock not really reacting as much as we would think on the upside. So unfortunately, it seems like some of these things are going into the valuation regardless of what companies are saying.  Anyway, second question was also a big picture, and you kind of touched around this, but I wanted to kind of just ask in a different way. One of the risks, I guess, of even a really bold market for your services would be that some of your best people become in hot demand. If your competitors and yourself are trying to win this business and some of the top engineers with certain niche expertise can sort of auction themselves off and put upward pressure on your comp and so forth. What's your take on that issue if we assume a real bull case scenario for demand in your markets?
Dan Batrack: Yes. I think that's a good question. And one thing I would say is that -- and I'm sure others in private companies hold us in very high stead. But I would say that people come to Tetra Tech to work for a career, not for a short-term pay increase or to increase a signing bonus to go to another area. Every one of our division presidents have been with the company for 20 years or longer. Our upper management officers, I think the average is probably much higher than that. The -- and in fact, we have looked at our statistics as a company. We have as an overall corporation annual turnover at about 9%, just under 10%. But I've actually broken that down because that's not the telling statistic. If you've been with Tetra Tech for more than 5 years, the average turnover per year is about 1%. And that includes retirements, medical leaves or people that would depart to go to clients.  So I think that the reason that if you asked me where I would be, I don't know, if I call it more concerned, this is just a reality is that when things get really high, high demand, the person that's at Tetra Tech, the only place that I think would be enticing to them for the most part might be to go to a client and having people that are long in Tetra Tech that actually go to a client and know where they can get their work solved properly, done well and best-in-class technically. I think they come right back to Tetra Tech. So if when we lose someone to go to a client, that's actually not losing, that's actually investing.  So with respect to compensation, can they get paid more going somewhere else? Maybe, maybe not with salary, but Tetra Tech does have a pay-for-performance practice here. It is very dominant in the company. And if they perform well, the Tetra tech project managers and technical staff are at the forefront and can get compensated here at Tetra Tech as well or better than they can anywhere.  And so I'm really not worried about overall compensation because we do compensate based on performance and are really best-in-class in the industry. And as far as turnover, I've been here a lot of years and a lot of bold cycles and down cycles, and I just haven't seen it. And it's measured by the final proof in the quantification, is how long the people been here and what's our turnover and I just shared that with you. So I think we're actually one of them that are in better stead.  And I'll just comment one more. I think that there's so much turmoil in the industry that people are chasing all sorts of stuff. Some people are going that were water are now moving management consultant, some that want to be water and environment are really going geotech and calling it environmental. There's a whole bunch of people, who are looking that the companies they work in where they are experts in water and environment, look at Tetra Tech and say, that's an entity that's consistent, it's enduring, it's stable, and I want to go work over there. So we've been a net benefit of this movement. And when they come here, they come to stay.  So I know it's kind of a long-winded answer, but I'm always sensitive to the potential risks there, but the reality is, I think we have a really good model to address that and actually be a net benefactor as we move through this bullish period with water, environment, sustainable infrastructure and renewal energy.
Ryan Connors: Well, it's very clear. And your conviction is definitely clear as well.
Operator: This will conclude the Q&A session. I would now turn the conference back over to Mr. Dan Batrack to conclude.
Dan Batrack: Well, thank you very much, Laura. Thank you very much for opening the call today and for handing it back to me. Thank you all, all the shareholders, those that follow Tetra Tech, those that write-up your outlook for us. Thank you very much. I have read almost all of the material. And I really do think that our message has gotten through, and I appreciate your support.  I will tell you that while this may be officially on an astronomical calendar, we may be in the winter, it may be the end of January. But I'll tell you from a business standpoint, we here at Tetra Tech, feel like it's springtime. We feel that this new program starting, there's new contracts being awarded, and there's new momentum and focus and support from our clients and from the public on what we're doing and where we're going from our end markets.  So we do think it's springtime. We think the best is yet to come, both for 2021 and into the future. And I'm really looking forward to speaking with you all next quarter to give you an update on how we progressed from the early parts of spring and the green shoots to actually a large growing performance, both measured in margin and other areas.  So thank you very much, and I look forward to talking to you all next quarter. Goodbye.
Operator: Ladies and gentlemen, this concludes our conference for today. Thank you all for participating, and have a nice day. All parties may disconnect now.